Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2017 Fortress Transportation and Infrastructure Investors LLC Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Alan Andreini, Head of Investor Relations. Sir, you may begin.
Alan Andreini: Thank you. I would like to welcome you to the Fortress Transportation and Infrastructure fourth quarter 2017 earnings call. Joining me here today are Joe Adams, our Chief Executive Officer; and Scott Christopher, our Chief Financial Officer. We have posted an investor presentation in our press release on our website, which we encourage you to download if you have not already done so. Also, please note that this call is open to the public in listen-only mode, and is being webcast. In addition, we will be discussing some non-GAAP financial measures during the call today. The reconciliation of those measures to the most directly comparable GAAP measures can be found in the earnings supplement. Before I turn the call over to Joe, I would like to point out that certain statements made today will be forward-looking statements, including regarding future earnings. These statements by their nature are uncertain and may differ materially from actual results. We encourage you to review the disclaimers in our press release and investor presentation regarding forward-looking statements, and to review the risk factors contained in our quarterly report filed with the SEC. Now, I would like to turn the call over to Joe.
Joe Adams: Thank you, Alan. To start, I am pleased to announce our eleventh dividend as a public company and our 26th consecutive dividend since inception. The dividend of $0.33 per share will be paid on March 27 based on a shareholder record date of March 16. Before going over the numbers for each operating entity, I’m pleased to announce the following numbers for Q4. Adjusted EBITDA $47.8 million, adjusted net income $6.2 million, Aviation closings in the quarter $160 million and finally projected Aviation FAD from the existing portfolio plus our current letters of intent, $250 million. Now let me review the numbers in more detail. The key metrics for us are adjusted EBITDA and FAD, or Funds Available for Distribution. Adjusted EBITDA for Q4 2017 was $47.8 million compared to Q3 of 2017 of $37.8 million, and Q4 of 2016 of $22.4 million. FAD was $47.2 million in Q4 versus $73.6 million in Q3 of 2017 and $20.5 million in Q4 of 2016. During the fourth quarter, the $47.2 million FAD number was comprised of $79.1 million from our equipment leasing portfolio, negative $16.4 million from our infrastructure business, and negative $15.5 million from corporate. The negative infrastructure number increased due to a one-time charge for interest expense which had been capitalized during the year. The overall infrastructure revenue increased primarily due to butane sales at Repauno offset by increased operating expenses related to the ramp up in ethanol and refined products operating expenses at Jefferson. The increase in the negative FAD at corporate compared to Q3 was primarily due to the increase in interest expense from $100 million add-on to our six and three-quarter percent unsecured debt issue. Finally, $30.2 million of the 79.1 million for the equipment FAD was the result of the sale of our investment in bore drilling for a gain of $11.4 million. Once we normalize the Q4 numbers, we again see as we did in Q3 continuing strength in our ability to generate adjusted EBITDA and FAD on a run rate basis. More importantly, we see that trend continuing and in fact accelerating. Before going into detail on Aviation, let me make the following observations on FTAI in general. Aviation, our core cash flow generator at the moment continues to outperform and our advanced engine repairs joint venture is moving forward exactly as we had hoped and planned. Jefferson has turned the corner and now we have two important new initiatives refined products to Mexico and ethanol up and running and the spread between Western Canadian select and West Texas intermediate is wide again and the industry is scrambling and economically motivated to again bring meaningful volume of heavy Canadian crude to the Gulf Coast by rail. Our business plans for Repauno and Hannibal, which we are renaming Long Ridge Energy Terminal are developing nicely. We are now convinced that market demand exists to turn each of these assets into multi-billion-dollar businesses. Let me now turn to aviation by first setting a backdrop for our business. I cannot remember when the aviation leasing environment has ever been better. While there are some issues with some wide bodies, the macros for the industry overall continue to be impressive. Global passenger traffic grew 7.6% in 2017 and is projected to continue growing for the next few years at 5 to 6% per annum. And freighter demand due to rapidly growing e-commerce is the strongest in many years. Here are the aviation numbers for Q4. Aviation had yet another excellent quarter, in fact our best quarter ever. Aviation FAD was 50 million which included 4 million from sale proceeds, excluding asset sales, Q4 Aviation FAD was 46 million or 184 million annualized, up from 174 million annualized in Q3. The portfolio is performing as well or better than expected and we had an active quarter for investing, closing approximately 160 million in new asset acquisitions, our largest quarter ever for closings. The closings consisted of 11 aircraft, 9 engines and one airframe. For all of 2017, we invested approximately 435 million into aviation. Our annualized adjusted EBITDA yield and return on equity without gains were 25.6% and 13.7% respectively both higher than Q3 2017. We hit our target return levels of 25% adjusted EBITDA to equity and expect to reach the 15% targeted return on equity as the remaining three aircraft purchased off lease as part of the Air China deal go on lease. We have signed six-year leases for all three of these claims, one will go on lease this quarter and the final two will go on lease in Q2. We currently have letters of intent covering 127 million of new equipment as of today and since year end 2017 have closed on 53 million of new investments. Once the remaining under LOI are purchased, we expect run rate Aviation Fed to be approximately 250 million per annum, up from the 230 million we’ve projected last quarter. Turning to offshore, the offshore market continues to be over supplied but is slowly improving. All three of our vessels were on lease for all of Q3 and for most in Q4 and all are currently on lease as we speak. We continue to evaluate new opportunities that may fit our existing assets or expand our services with value added capabilities and we are seeing some interesting situations but none are at the point yet that we are ready to make a new investment. As I mentioned earlier, we did monetize our investment in board drilling for a gain of 11.4 million and proceeds of 30.2 million. Turning now to the infrastructure and Jefferson. Jefferson had an exciting and productive Q4 although hurricane Harvey caused construction delays and we experience some normal startup which is and delays both the ethanol and refined products businesses are running well now and ramping up nicely. For refine products, our initial system was designed to handle approximately 20,000 barrels today per day which we expect to be doing by Q2 this year and with an additional investment of approximately 20 million we can increase the volume capacity to 60,000 barrels per day by Q4 of this year. Given the robust demand for this, we hope to make that decision to proceed within the next few weeks. On ethanol system was designed for 35,000 barrels per day and we should be running fully utilized by Q2 of this year. Jeff has been in Green Plains are finding strong demand for export, including to Brazil, India and China, which is a major strength of this facility. Regarding crude, the good news is, as expected Canadian production is exceeding pipeline takeaway capacity and thus the strait between WTI and WCS is again above $20 a barrel. The bad news is, they are getting real capacity presently is very difficult. We have secured valuable rail slots beginning in Q3 of this year, and we are doing everything we can to get more potentially sooner. On storage, we are delivering, 500,000 barrels this quarter, a little late, and are adding an additional 800,000 barrels, which should be online around the end of this year also a little late. With export opportunities increasing, this new storage well for the first time give us the ability to efficiently deliver into international markets, starting in 2019. With respect to pipeline connections and larger storage deals, we are making solid progress and are in active negotiations with several users, but nothing is finalized yet. All told in spite of some weather and construction challenges, terrific progress to Jefferson, for 2018 we are still comfortable with our EBITDA range of $25 million to $40 million, but are most comfortable at the low end of that range. Turning to the Central, Maine, and Quebec railroad, in the quarter total revenue increased approximately 8% year-over-year, primarily due to a positive change in freight volume and mix and an increase in higher rate line hub volumes in chemicals, fertilizers and propane. Most importantly revenue from new customers continues to grow and we are making good progress towards starting a tank cleaning operation in Q2 of this year, which we expect will add $3 million to $5 million in annual EBITDA starting in Q2. Longer term, we continue to feel comfortable that the CMQR will generate $35 million to $40 million in annual revenue and approximately $10 million to $12 million of annual EBITDA and 2018 has started out very strong. Repauno the big opportunity here continues to be natural gas liquids, NGLs. Last year we started with butane storage in our cavern and going into 2018, we will have the cavern operating for a full year and expect to generate approximately $3 million in EBITDA from that activity. So, a positive contributor, from vv. We have been spending the last few months, working on identifying butane and propane supply from Marcellus producers, beginning discussions with international, mostly European buyers of the butane and propane and commencing the engineering work to scope out the optimal size and location for new underground granite storage cavern. Our view remains positive for securing suppliers and off-takers for several million barrels of capacity. We expect the core sampling to be done by the end of Q2. To remind you of the math, the first 1 million barrels of storage we are expecting to build for approximately 175 million, with 50 million of that being one-time above ground infrastructure. The second, third, fourth million, we expect to build for between $80 million and a $100 million or $80 to $100 per million barrels of underground storage and we expect each million barrels of storage to generate approximately $50 million to $60 million in annual EBITDA. I’d like that math. Long Ridge Energy Terminal formerly known as Hannibal over the next couple of months we are upgrading the rail infrastructure to enable us to handle unit trains of frac sand with very high demand for frac sand in an excellent location and the ability to handle both barge and rail deliveries, we expect to generate $3 million in EBITDA this year and potentially lock in some long-term contracts. Regarding the power plant, we’ve made great progress. The site is fully permitted in record time, the gas supplies in place and the power island and EPC contractors have been chosen, the main remaining important activity is selling the output through long-term fixed price electricity contracts. We have identified and are in discussions with multiple regional industrial users representing over 600 megawatts of demand for which we expect to sign up half of the output of the plan or approximately 250 megawatts. For the other half, we are targeting onsite users primarily data centers. If we achieve this outcome, we expect the total EBITDA will exceed $100 per annum on approximately $550 million investment starting in 2020. Financing, with respect to financing all of these projects we did an equity deal in January. With that deal done, we now have significant debt capacity with debt-to-total cap today of approximately 37% so you can expect the next financing that we would do would be debt. In addition, we are finalizing a $50 million revolver at Jefferson. So, in conclusion, Aviation continues to outperform with our profitability metrics improving even as we add new assets and at Jefferson we had successfully worked through weather delays and startup issues for we’re ramping up now. In the last few months, we’ve taken this business to new levels. Repauno and Long Ridge are moving forward and executing exciting business plans and will be positive EBITDA contributors in 2018. And while I’m very proud of what we accomplished in 2017 and more excited about where we are positioned now as a firm and our prospects for future growth. With that, let me turn the call back to Alan.
Alan Andreini: Thank you, Joe. Operator, you may now open the call to Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from [Bryan Colin with Stephens]. Your line is now open.
Unidentified Analyst: Hey, good morning guys. So just wanted to talk about Aviation leasing, just wondering how we should think about the rents there going forward and when you would expect to get to that $250 million FAD run rate?
Joe Adams: I think all those LOIs should be closed by Q2 so I think you would see it full in Q3.
Unidentified Analyst: Okay. That’s helpful. And secondly so last quarter you gave a breakdown of the $25 million to $40 million EBITDA you expect for Jefferson this year, just curious if your expectation for the mix of business there you know within that 25 to 40 has changed at all.
Joe Adams: I would say the refine products is probably a little lower just because it’s been a slower ramp up, ethanol is probably a little bit higher but it’s not dramatically different.
Unidentified Analyst: Okay. And then could you give an update on how discussions are progressing around potential crude by rail contract. At this point what do you think is the main thing that’s holding potential customers back you know from signing a deal.
Joe Adams: Well we could sell very possibly everything we could get to the terminal right now. As I mentioned the constraint is currently getting rail capacity and for a variety of reasons the Canadian railroads had a very busy winter with crane, with frac sand, intermodal and so when everyone came to them and said I’m ready to do crude by rail again, they said we’re not ready. And by the way the last time we did you left me standing at the altar in that I didn’t like that. So, it was a bit of a negotiation going on and we were able to secure what is pretty limited rail class [ph] starting in Q3. I think it will be about five to six trains a month under that contract and we’re trying to get more. So as much as we can get right now, we could sell it profitably.
Unidentified Analyst: Right, so I mean in the quarter, the throughput volumes were up pretty nicely. Just curious when you would expect to recognize the revenue there because it was down sequentially.
Joe Adams: Well I would say right now we’re indicating that it will be more Q3 at the beginning in Q3 but we’re going to try to do more in Q2 if we can get it.
Operator: Thank you. Our next question comes from Chris Wetherbee from Citigroup. Your line is now open.
Chris Wetherbee: I want to actually follow up on with that question on Jefferson with another, there was substantial value so how we think about those translating into revenue and then also I want to get your sense of volumes in Q1 and how those might be translating into revenue as well?
Joe Adams: Yeah, one thing that happened in Q4 is that revenue shifted as we book a lot of business through the ethanol as it shows up in other as opposed to revenue and so if you can want to think about it properly you should really combine those because the ethanol is a joint venture and so it gets booked as other. And so, a lot of the activity in Q4 and particularly December was ethanol. And so then going forward we’re expected approximately 30 trains in Q1 and probably 45 trains in Q2 on ethanol and on the refine products roughly 10 in Q1 and probably 30 in Q2.
Chris Wetherbee: Alright. That’s helpful and then also you made a comment about e-commerce demand within aviation, I want to get more color on that to see how you see that manifesting. And if there is a particular customer or if you pair with a particular customer and what level of demand that might be?
Joe Adams: Well it's a great question, since we are largely an investor in engines and a lot of our engines go on 757s and 767s and 737, 800s. The longer those aircraft fly and where more demand is for our engines and the more money we will make. And so, it's actually a terrific macro because if the 757, 76s a passenger plane might fly for 20 to 25 years, as a freighter it could fly for 35 to 40 years. So that demand from that space makes our engines more valuable, so to me it’s a great, its icing on the cake, but it’s a lot of icing.
Chris Wetherbee: And so, does that mean, there might be more acquisitions and investment in that, since you see, [indiscernible] and if that like 160 was more opportunistic or if it sort of what we should expect moving forward?
Joe Adams: Well it’s a little bit high, I think last year we started out the year expecting we would invest about 215, we ended up doing more than 400. I would probably say the expectation maybe should stay the same, but maybe it’s a bit higher, I think the size of the market opportunity that we look at keeps growing, and in particular, the activity around 737 MGs and A320s is much bigger than the 75, and the 76 market. So, in general I think we will probably do more, but as I have said many times, we don’t really budget new investments, they happen because, the deals are attractive enough, not because we are out trying to make them happen.
Operator: Thank you. And our next question comes from Ariel Rosa, with Bank of America. Your line is now open.
Ariel Rosa: Hey, morning guys. So, I wanted to start out, there’s obviously between the sales, the off-shore investment and the equity raise, you guys are getting a bit of an inflow of capitals here. Could you just layout, kind of what are priorities for that capital, obviously with all the projects that you have, there is a lot of CapEx in each. Where do you see that capital kind of going throughout the year, and how much incremental capital do you think you might have to raise in terms of debt?
Joe Adams: So I think the priorities are aviation number one, and we have a pretty good pipeline of deal opportunities ahead of us and some of them are probably bigger than they have been, so I think that’s part of it is being positioned and we need to be opportunistic in that and also just continue to [regular way] business, so that’s the top priority and its, it's very profitable business from the beginning, it's not -- it should be very low lag in those fields in terms of producing income. And then the second priority for capital this year will be the power plant at Long Ridge Energy Terminal. And that's something as I mentioned is coming here nicely, we are out in the market right now, talking to long-term off-takers for power and as soon as we have that in a position where we are comfortable, we have got that locked down and I think we would go forward with that project and that’s $550 million, so its sizable, but it's over three years, so it's not immediate, but that would be the next priority. And then beyond that its not to the level yet where I could specific identify, as I mentioned Repauno, the underground storage caverns are a great opportunity but we haven’t finished the core sampling yet, so I, it's premature to say that’s not a committed or go yet.
Ariel Rosa: But, so you did mention, Jefferson in there, is that to say that using the CapEx needs there rather limited or what’s thinking on CapEx needs on Jefferson.
Joe Adams: We have invested in the -- last year we did ethanol and the refined products were doing storage this year and we believe that most of what we do going forward at Jefferson will be debt financed at the Jefferson level. So, I don’t think of that as a corporate FTAI requirement.
Ariel Rosa: Got it. So, you expect that will come from the revolver from that $50 million revolver?
Joe Adams: Over long-term debt at Jefferson, we already have $200 million of tax exempt debt at the Jefferson level and I would expect that we have opportunistic invest, building out storage or doing a pipeline connection will be what we are doing and I would expect that they have a contract attached to it which would enable us to debt finance long term on that investment probably all of it.
Ariel Rosa: Got it. Understood. And then switching gears little bit, obviously the returns in Aviation look very attractive right now. Are you seeing more money coming into that space is there risk that influx of capital from competitors could potentially diminish some of the returns there and the attractiveness of that business?
Joe Adams: It’s been that way for the last couple of years. I don’t think it’s much worse than it has been. But there is a lot of capital that is mostly focused on newer aircraft and longer-term leases. And so, where we’ve done almost all of our investments have been in older equipment with either shorter leases or off lease and we’re focused really on the engine. So, we don’t see any increase in competition in that area.
Ariel Rosa: Okay. That’s helpful. And then just last question from me. Joe, maybe you could explain a little bit more this question of the challenges in terms of securing rail capacity for Canadian crude. It seems like if the capital is there and that historically has been a very high return business for the railroads. I guess I’m a little confused as to why it’s so difficult to secure capacity or why it would be pushed out so far in the third quarter. Maybe you could provide a little more color I mean obviously I understand that the rails have gone burdened in the past investing there but it seems like somebody would be going to step in and kind of commit to some sort of take or pay arrangement or something like that?
Joe Adams: Yeah and we have. I think the CN has given three slots out to people and we’re one of them. So, they will make commitments and they will make capacity available. I don’t mean to suggest there was nothing, but in Q1 they had as they commented they had a tremendous amount of grain business and a lot of frac sand business, they had a delay at Prince Rupert, they had a lot of intermodal business. And so, they just basically said we don’t have the capacity in Q1. We are trying to get capacity in Q2 from CP as well as CN so I think that that could open up and then definitely by Q3 we’re getting capacity. So, I think it will ramp up and if you look at over the next few years for the next three years, there is no new pipeline that’s going to come online. So, rail is a solution. So, I think just the railroads don’t necessarily move quickly, which we know we’ve been one so they are not fast, but they will respond and I don’t think it’s a permanent thing, I think it just is a confluence of events that they just said we don’t have the capacity right now and we want people not to just come in for a quarter and then leave.
Ariel Rosa: Okay. So just and then really quickly so it indicating you expect EBITDA from Jefferson kind of towards the low end of the 25 to $40 million range. Is that primarily what’s driving that or is it something else. I mean help me understand that incremental move?
Joe Adams: Yes, it was a delay of getting starting so we had the hurricane which shut down the terminal for six weeks and then we had construction delays resulting after that. So, it was a combination of the delays and then partly getting this rail capacity more towards the backend of the year is what’s driving it.
Operator: Thank you. And our next question comes from Devin Ryan with JMP Securities. Your line is now open.
Devin Ryan: Hey thanks good morning. Maybe just first one on aviation, just lobbying an update on how you’re thinking about you know the contribution from the engine overhaul, how that’s going. Any new thoughts on capacity there and then just how we should think about the kind of the timing of development and how that business is ramping?
Joe Adams: Sure. That’s going very well, we’re one year into what is three year you know project and so but the first year has gone very well and we’ve achieved the milestone, it's an important milestone that we, that have given us a lot of confidence that the next two years are going to go well. So very, pleased with that and looking forward to the potential that but it's not an immediate, it's not going to produce immediate income but it does give us a tremendous strategic advantage and proprietary products in that space. As I mentioned last time we were also working on other ways to reduce the cost of those engine overhauls including working at a parts distributor for lowering the cost of our parts that go into the overhauls and then an ability to do module swaps with engines instead of putting a whole engine into the shop you can swap modules from one engine to the other and then create one good engine where you might have had two mediocre engines. So, we’ve got all those going in and those should start to contribute this year. So, I’m positive on how we position ourselves strategically to be able to take advantage of that CFM 567B and 5D market which is the biggest engine market in the world. So, all good.
Devin Ryan: Got it okay, good update. Thanks, and then just on Repauno I’m trying to think a little bit more about the long-term opportunity there in natural gas liquids, I appreciate the update on the county economics and building storage and the EBITDA contribution which I think should give a pretty good framework. But can you remind us kind of the total long-term capacity and then once the half ago there you know what the timeline will look like around building stores, maybe the first million barrels?
Joe Adams: Sure, so you know the engineers today have done a number of caverns of similar nature and familiar with the geology have estimated that they think the total capacity we can build is between 4 and 6 million barrels of storage capacity underground. But we won’t have the final numbers until they’re finished with the quarrying samples that they starting with the quarrying samples and that should be done by the end of Q2 -- do it like in one month, so we’re reasonably confident based on what we know and we know that, that there is going to be significant capacity. And then as I said, we’re talking to off takers people that buy propane and butane and most of those are European or Middle East or African, could be Asian. But, there is a fair amount of capacity refining capacity and chemical plants being built that need propane and butane. So, the demand side looks pretty good and we are out engaging with those people now to see if we can sign up long-term off-takes. To build the first cavern is probably 18 months, so if we figured, -- if we got to go in June of this year, we would probably be, seems like everything is 20-20, that will be a big year for us. But, that’s kind of the timeline to get in service. The thing that was -- we could start interim service, you don’t have to wait for the cavern to deliver to be able to load propane and butane, we can actually do that now through our existing cavern and we could load directly on to ship. So unlike, the power plant, where you don’t get revenue until you turn it on, with this you could actually see a ramp up in revenue in beginning in 2019.
Devin Ryan: And then just last one here on Jefferson and the guidance update, that maybe I’ll try to ask a little bit differently. I know that timing can impact the contribution if the sliding scale based on delays and the real capacity as you highlighted. But based on that $25 million to $40 million range, I think the implication here is that the contributions are going to be more back half skewed off of that. Can you maybe give us any perspective of what that implies if were run rate heading out of the year and I think that’s probably the better way to think about it, because it seems like, the fact that you are still in this range to just at the run rate of the back half of that higher than previously implied or thought, and so just trying to make sure that’s kind of a reasonable thought and then any other detail you can provide on that would be helpful?
Joe Adams: Yeah, I think that’s right. The run rate should be higher than we had originally expected by the end of this year, definitely the volumes as I mentioned, we have additional growth opportunities in every category, so we can increase the refined products meaningfully we can increase the crude and as I said, we’ll be to this new storage tanks that we’ll have, will have the ability to go directly to shift, so that’s a new market for us in 2019. So, I expect that the run rate number would be higher than it was previously.
Operator: Thank you. Our next question comes from Rob Salmon with Wolfe Research. Your line is now open.
Rob Salmon: Hey, good morning guys. I guess continuing on the Jefferson, could you give us an update with regard to the pipeline and the connection that you guys are looking to establish, what sort of throughput you think that can provide for Jefferson looking out and the timing that we should be thinking about this coming online.
Joe Adams: So, we have a [indiscernible] trans Canada to connect to Market Links, so market link is got a tremendous class here to 40-inch pipe, so its 100s of 1,000s of barrels of day. It can supply us, what as much crude as we need. So, then the thing is what you need to build storage to handle that and so that’s where we are out in having conversations with both local refineries as well as sort of a new entry in that market is some international players have come and looking for storage on the Gulf. And the Gulf is a better location today than Cushing is because Cushing is in the middle of Oklahoma and you can’t get easily to water from there. So, with export opportunities increasing and U.S. is increasingly about to become the largest oil producer in the world and surpass Russia it’s a very attractive market for having storage. So, what we need is -- we have the pipeline and we can deliver the crude, now we need the person who says I'll contract for storage and that’s why we’re out discussing with a number of different parties for millions of barrels of commitment.
Rob Salmon: Okay. And then I would imagine from the revenue and EBITDA contribution it will be -- the activities around kind of the refining which is going to provide similar benefit to the storage from an EBITDA perspective.
Joe Adams: Yeah.
Rob Salmon: Is that the way to think about it?
Joe Adams: I’m not sure I understood the question.
Rob Salmon: I guess Joe, when we’re thinking about the see -- making money off of the storage activity that would be kind of the big driver of the pipeline, can you give us a sense that as that comes on what that EBITDA potential is?
Joe Adams: Yes, I think we have indicated previously that roughly for every million barrels of storage there's about 10 million of annual EBITDA.
Rob Salmon: That’s helpful. And I guess switching gears a little bit here, it’s a Long Ridge we’ve been hearing kind of just the market has been very competitive from a long-term purchaser of power within that region. Can you give us a sense of when you’re expecting to kind of get better visibility on timing for those long-term contracts, do you need the long-term contract to offer data centers within the region or is that really dependent on having the power plant up and running, so kind of a two-part question there.
Joe Adams: Yeah so, the market is always competitive for electricity but we’re out in the market now and engaged with people and we’re hearing good things in terms of -- we have probably the lowest cost gas, we have very competitive and low-cost infrastructure given that we already had transmission lines and it’s a flat spot on the river that doesn’t have to be graded. And then we have the most efficient new technology available with a 6400 e-grade [ph]. So, we can compete and they have money with anybody. And so, we’re out and we’re looking to sign up on long-term agreements roughly half of the capacity of the power plant and we expect to do that in the next couple of months. To offer to data centers, we don’t need to do anything, we’re out also talking to that market and we’re offering them the location and the long-term power agreement and we’re sort of thinking that roughly half of the capacity of the power plant we will allocate for the data centers, but the timing of that commitment will be probably after it will be later in the year than the other half.
Rob Salmon: And then from a capital investment perspective how should we think about the cadence of that $550 million that you discussed over a three-year period, is that readably gone over the three years, is it front end loaded back end loaded?
Joe Adams: We’re still negotiating on that but I would say for the moment I think ratable is fine but we’re still in discussions on that so it could change ratable now that they had assumption.
Rob Salmon: Alright, appreciate the color and can you give us kind of -- with regard to the update from an EBITDA and FAD perspective, it sounds like you guys are very close to kind of fully covering the dividend. Should we think about based on the timing of the EBITDA coming online this would be a second quarter at the latest third quarter event.
Joe Adams: Yeah, that’s fair.
Operator: Thank you. [Operator Instructions]. Our next question comes from Robert Dodd with Raymond James. Your line is now open.
Robert Dodd: Hi guys. Most of my questions have been answered already but I’ve got one kind of overall structure of the entity. Some of the publicly traded LPs have said that obviously contemplating conversion to a C-Corp tax reform at least one of them has already come to the conclusion that that’s actually the right idea. Obviously, you guys are on an LP and LC. So, has that been considered, is it being considered. Can you give us any color there?
Joe Adams: We have looked at it, we’ve tried to figure out some of the nuances of this new tax bill which is still being analyzed. We have a lot of our income come from Aviation obviously and obviously all of that is, it’s a non-US entity and so at the moment we haven’t found a way to convert which wouldn’t have a meaningfully negative cash cost to us. So, at this point we don’t have a solution but we’ll keep monitoring it and I’ve learned in tax that you know sometimes unexpected things present themselves, so we understand that if we could do it efficiently we would. It's just trying to find the efficient solution.
Operator: Thank you. I’m not showing any further questions. At this time, I would like to turn the call back to Alan Andreini head of investors for any further remarks.
Alan Andreini: Thank you for participating in today’s conference call. We look forward to updating you after Q1.
Operator: Ladies and gentlemen thank you for participating in today’s conference. This concludes today’s program, you may all disconnect. Everyone have a great day.